Operator: Please standby. Good day, everyone. Welcome to the VimpelCom Ltd. Fourth Quarter and Fiscal Year End 2010 Earnings Conference Call. Today's program is being recorded. At this time, for opening remarks, I’d like to turn things over to Ms. Alexandra Tramont. Please go ahead, ma'am.
Alexandra Tramont: Please welcome to VimpelCom Limited’s conference call to discuss the company's fourth quarter and full year 2010 financial and operating results. Before getting started, I would like to remind everyone that except for historical information, statements made on this conference call may constitute forward-looking statements that involve certain risks and uncertainties. These statements relate in part to; one, the company’s expected margins, dividends and capital expenditures; two, synergies in Ukrainian; and three, the completion of the Wind Telecom transaction and the benefits thereof. Certain factors may cause actual results to differ materially from those contained in the forward-looking statements, including the risks detailed in one, the company's press release announcing fourth quarter and full year 2010 financial and operating results and the earning presentation; two, the company's practice statement filed with the SEC on Form 6-K on February 15, 2011; three, the company's registration statement on Form F-4 filed with the SEC; four, OJSC VimpelCom's annual report filed on Form 20-F for the year ending December 31, 2009; and five, other public filings made by the company with the SEC, each of which are posted on the company's website at www.vimpelcom.com and on the SEC’s website at www.sec.gov. VimpelCom disclaims any obligation to update developments relating to risk factors or to announce publicly any revisions to any of the forward-looking statements made on this conference call or to make corrections to reflect future events or developments. If you have not received a copy of the fourth quarter and full year 2010 financial and operating results press release, please call FD at 212-850-5600 and it will be forwarded to you. In addition, the press release and the earnings presentation, each of which includes reconciliations of non-GAAP financial measures presented on this conference call, can be downloaded from the VimpelCom website. At this time, I would like to turn the call over to Alexander Izosimov, Chief Executive Officer of VimpelCom.
Alexander Izosimov: Thank you. Hello, everyone. Thank you for joining our conference call today. Let me introduce first the people participating on this call. Here with me in Amsterdam are Henk van Dalen, our Chief Financial Officer; Andrew Simmons, CFO of our Ukrainian Business; and Alexey Subbotin, our Head of Investor Relations. Elena Shmatova, who runs our business in Russia and Dmitry Kromsky, Head of our CIS Operations have joined us from Moscow. On this call, we will discuss our fourth quarter and full year operational and financial results. In the fourth quarter, we delivered solid financial results on the Group level. The numbers reflect a combination of factors, first, modest market economic recovery in the countries where we operate including Forex effect, second, growing demand for our services and third, the consolidation of Kyivstar. The full year Group figures shows strong growth in all areas of performance, of course, there is a significant impact of the inclusion of Kyivstar from April 21st, by driving growth of our business also contribute to the solid picture. I’m particularly happy with the strong net cash from operating activities, which was up 4.5% to a level of $3.7 billion, enabling significant CapEx interim dividend payment and net debt reduction simultaneously. In our key market Russia, we launched several marketing initiatives supported by accelerated investment in network rollout, pricing excellence and distribution efficiency. We are confident that we will achieve our goal of strengthening our competitive position in Russia while keeping our margin in the targeted level above 45%. On March 17th, our shareholders approved the issue of shares enabling the combination with Wind Telecom. Once completed this will double the size of our business and position Wind Telecom in the top tier of international telecom companies. We expect the deal to substantially expand our platform for growth and help to secure advantages of scope and scale in a very dynamic industry environment. I’m confident that we will be able to unlock value for all our stakeholders within the next 24 months. Now, I’ll pass the floor to our CFO, Henk van Dalen, who will describe the Group’s financial performance. Henk, please?
Henk van Dalen: Thanks, Alexander. Let me remind you that we present the consolidated financial results with Kyivstar operations incorporated starting from April 21st when transactional (inaudible) completed. In the accompanying press release, you also find performance statements on consolidated level and for our Ukrainian business unit. On the chart, you can see that despite of large adverse seasonal effects, our quarterly consolidated revenues remained flat sequentially from the third quarter to the fourth quarter in 2010, not less than US$2.8 billion. We invested in operations in Russia in order to accelerate our growth there and still consolidated all the amount to a healthy $1.3 billion with all the margin around targeted range for the Group. The Groups net income this quarter amounted to $461 million, which is almost 63% higher, since we reported the year ago. This was primarily impacted by a lower invest level the consolidation of Kyivstar and relatively low effected tax rate in the quarter due among others the way reversal of tax and liabilities in the Ukraine as a result of the lower corporate income tax rate going forward. Net cash from operating activities continue to be strong over the quarters enabling significant CapEx by maintaining financial scope. I’ll jump to the full year results, overall, our full year consolidated revenues increased to $10.5 billion, revenues from Russia increased by almost 10% on U.S. dollar terms compared to 2009. The consolidation of Kyivstar and operation in Kyrgyzstan have substantially increased the scale of our business and boosted our topline as well. Net operating revenue increased 20.8% for the year, mainly impacted by inclusion of Kyivstar and Kyrgyzstan which accounts for 14% out of that 20.8%. Direct costs of sales in Russia and CIS increased substantially compared to 2009, due to increase in sales of the raises in Russia with low growth margin, coupled with an unfavorable traffic mix impacting gross margin significantly in these businesses. SG&A costs in U.S. dollar were 28% higher year-on-year, which is for about 0.5% due to the inclusion of Kyivstar and Kyrgyzstan. The increase in remaining business is mainly resulting from an overall increase in sales and marketing expenses, higher technical support expenses, foreign exchange effects and different project related costs at headquarters. A consolidated OIBDA margin although declining by 2.2 percentage points year-on-year, 46.9% stayed within our targeted range. The consolidated OIBDA for the full year amounted to more than $4.9 billion. The OIBDA increase of 15.4% year-on-year was unbalance fully the result of inclusion of Kyivstar and Kyrgyzstan. The net income attributable to VimpelCom reached $1.7 billion growing by 49% year-on-year, resulting from [post date] contribution of Kyivstar and at some cases product effect in comparison to 2009. Now, let’s look at our financial positioning somewhat more detail, in particularly the situation with regard to ratios and integrators, substantial investments were made during the last quarter for the year 2010, more than half of the 2010 CapEx and that obviously influenced our free cash flow in that particularly quarter as well. Despite this increase in investments we step up in the fourth quarter, our free cash flow for the full year remained above $1.5 billion. We finished the year with a healthy cash balance of almost $900 million and solid balance sheet ratios, total debt to OIBDA at the level 1.1, while the net debt to OIBDA ratio came out below 1. On the next slide we show you the main dynamics with the influence of development of the net debt and the key consolidating factor for the debt reductions starting from the level of $5.4 billion at the end of 2009, was of course, cash from operating activities, which came in at a level of almost $3.7 billion during and although, $167 million in cash came in with Kyivstar. Throughout 2010 we spend almost $2 billion in cash on CapEx and acquisitions, and over $480 million went to finance squeeze out of OJSC VimpelCom shareholder in the aftermarket of Kyivstar transaction. We paid out $600 million in cash to our shareholders as an interim dividend for 2010 and we paid that in the year 2010. All in all, despite substantial investment program buyback of OJSC VimpelCom shares and solid dividend payments, we managed to decrease our net debt by $680 million, which of course we believe is a very good achievement for the Group. Then a little bit into the debt structure, not that much new debt in line with our stated goal of rebalancing our existing debt portfolio. We increase little bit portion of the debt to 50% by year-end, which was, in fact we already announced in the third quarter without significantly effecting duration of our costs of capital. Particularly to our 31 December, 2010, VimpelCom successfully plays Dow Jones $1.5 billion bond being at $500 million five year tranche yielding just below 6.5% and $1 billion 10-year tranche with the interest rate of slightly above 7.7%. These amounts were not included into the charts as the issuance have not completed after the year-end. The proceeds maybe used partly for refunds of our existing obligations but we also want to use part of the proceeds for financing of the Wind Telecom transaction. As this call is dedicated to our fourth quarter results, I will not go into detail to that deal financing we already discussed that with the investment community at length during various conference calls in January and February, and also in the road shows, which came in some of the shareholders meeting, so you can find all the relevant materials on the webcast. And then finally, dividends, as I mentioned before throughout the year with 2010, we paid $600 million in cash to our shareholders as dividends, as an interim dividend related to 2010. I would like reiterate our current dividend policy which stipulates that at least half of the free cash flow from Russian operations and from Kyivstar will be paid out as dividends. And as you can see on the slide, in addition to the $600 million interim dividend paid in December 2010, we also announced the issue of dividends for 2010 in the amount approximately $250 million, which was paid last week of actually second interim dividend and on per share basis the dividend payment so far amounted to $0.65 per share. We still expect the final dividend for 2010 to be declared and paid in the first half of 2011. I’m going to pass the floor back to Alexander who is going to discuss the financial and operating results of the business.
Alexander Izosimov: Thanks Henk. Let’s start with Russia, the telecom market in Russia continues to demonstrate good growth and it’s driven mainly by the microeconomic factors, which translate into growing demand for telecom services. Because we feel that we grew slower than the overall market in 2010, particularly in the mobile area, our primary focus now is to explore opportunities to accelerate our growth rate and strengthen our market position. As I said during our last earnings call, our operational efforts in Russia, I directed at four key areas. First, its investment in networks, we needed in order to be able to offer highly competitive products to the market. Second, we need to develop superior pricing capabilities and optimize our proposal to subscribers in terms of value for money. Third, we need to ensure an appropriate presence in all key distribution channels and improve the quality of sales while keeping subscriber acquisition costs under control. And last but not least, we need to strengthen our branding and marketing power to ensure sustainability of our customer base and increase loyalty. We’re able to increase the total number of mobile subscriptions to 52 million by year-end while keeping ARPU and MOU within the usual seasonal ranges, which clearly reflects the good quality of our nearly urban subscribers. However, given the intensity of the competitive environment in Russia, we continue to sustain higher level of marketing spend in the first half of 2011. Turning to the operational results of our fixed segment, I would like to mention the very encouraging growth rates in our broadband business during the fourth quarter of the year both in customer base and in revenue. Sequential FTTB revenue growth of almost 19% was driven by the increasing number of customers, which was 14% quarter-on-quarter and growing ARPUs on the back of demand for highest speed and IPTV. Now, few words about our financial results in rest of our Russia fixed-line segments and overall business. In absolute terms, our financial results in Russia look very solid. We manage to keep revenue flat quarter-on-quarter in contrast with normal seasonal trends when we see revenue peak in the third quarter of the year and then slightly decline in the fourth. When compared to the fourth quarter of 2009, our fourth quarter revenues were up by almost 10%, which is the highest year-on-year growth rate during the year. Substantial part of this growth was driven by increasing revenues from sale of handsets and other equipment which in Russia amounted to 2.5 billion rubles for the fourth quarter. We continue to develop our transport network and relations with Russia and foreign voice and data carriers, as well as corporate clients to maintain our leading position in the fixed-line segment. For the full year, our mobile margin in Russia remained at 49.7%. During the fourth quarter it declined to 46.4%, reflecting a different means of revenue streams and the costs of our increase marketing efforts. Consequently, the margins might be lower in mid-40s in the first half of the year and come back to our targeted level of about 45% in the second half of year 2011. As you can see on the chart, our CapEx increased substantially during the fourth quarter as we return to our normal investment pattern after conservative approach implemented throughout 2009 and in the beginning of 2010. On a full year basis, our CapEx to sales ratio remained within the targeted range of 20%. We will continue to invest in order to sustain and develop our competitive position in existing business and benefit from growing demand for new services in the data segment. Let’s move to our new strategic business unit, Ukraine. In Ukraine during the last quarter of the year, we continued our positive momentum and reverse the negative trends experienced in 2009 and the first half of 2010. In order to remain competitive in the current environment we continue to promote high internet usage mainly targeted at the price sensitive segment. This helped us to reduce churn and reverse the customer attrition trends. Our active mobile customer base increased by 1.5% compared to the fourth quarter of last year and reached 24.4 million. The decline in our mobile subscriber base in the fourth quarter of this year versus third quarter of this year was due to seasonal effects and was in line with our expectations. As a result of our marketing and pricing activities, we recorded a slight increase in ARPU in the last quarter of the year versus last quarter of the year before. This was helped by 20.5% growth in minutes of use, mobile data revenue growth and revenue mix. Despite the high growth in MOUs in 2010, we are still behind in usage compared to our main competitor. We will continue to promote high internet usage tariffs in 2011. We are focused on becoming the number one alternative broadband operator in Ukraine and now the faster growing broadband provider in the country. We made impressive progress in fixed-line broadband subscription with almost 270,000 subscribers by the year-end and 24% more than in the previous quarter and 144% more than a year ago. On a pro forma basis our quarterly revenue increased slight year-on-year by 0.7%, despite substantial cuts in interconnect rates. Compared to the previous quarter our revenue dynamics reflect the usual seasonal trends. Our quarterly EBITDA increased the year-on-year by 4%, while our EBITDA margin remained in our targeted level of the mid-50s. We are continuing our operational excellence program and synergy initiatives to improve margins. The synergies from the combination of Wind Telecom business in Ukraine with Kyivstar have thus far exceeded our expectations. In 2010, we had $52 million of costs savings, primarily from optimization of CapEx. We expect to continue to see effect of synergies going forward. In order to accommodate the growing demand of more sophisticated voice and data services, we continue to invest in our networks. Our CapEx to sales ratio for 2010 reached 16%. Although, the timing of 3G license and frequency allocation remains unclear, we are continuing to develop our data business during existing mobile networks and facilitating construction of FTTB networks. Generally, we are pleased with our performance in Ukraine in the fourth quarter and look forward to more progress in the future. Now, let’s turn to the CIS segment. Overall, our performance in the CIS segment in 2010 was very good. Our year-on-year revenue increased by 70% and OIBDA increased by 10%, while OIBDA margin remained strong at 47%. This was achieved through our driving growth in our major CIS markets backed by consolidation of the Kyrgyzs operations from the first quarter of 2010. Our results in the fourth quarter when compared with the previous year were also strong, with revenue growth of 23% and OIBDA growth of 11%. You can see the basic figures for each country in the attachments to our earnings release which we published earlier today. But few words about Kazakhstan, our largest and most developed CIS market. In Kazakhstan in 2010, we continued our development with 12% growth in mobile subscription without ARPU erosion. This resulted in revenue and OIBDA growing by the same 12% when compared with 2009. OBIDA margin remained very strong at 55% despite the highest subscriber acquisition costs and expenses related to our launch of 3G network and our FTTB project. In Uzbekistan, our second largest market, our efforts to strengthen management, enhance distribution channels and introduce flexible tariffs resulted in 17% revenue growth in the fourth quarter. We see this as a good sign in a highly competitive market. Our CapEx in the CIS markets increased substantially due to our mobile network expansion, including the launch of 3G in Kazakhstan and Kyrgyzstan, as well as the development of our broadband projects. Overall, we remain optimistic about our continued progress in the CIS markets as further development of our business should benefit from ongoing economic recovery in the majority of the CIS countries. Now, let’s move further away from our core market to Southeast Asia. In Cambodia, we managed to reverse the negative trends standing from regulatory actions earlier this year. Our fourth quarter dynamics look very encouraging with the growth in revenue and subscribers. At year end, the development of our business in Cambodia was back in track. In 2010, our operations in Vietnam were limited as we worked with our local partner, Vietnamese government, to find a common approach to financing. I’m first to announce that we have reached an agreement which should allow us to re-launch the business in Vietnam. Some steps remain to be finalized including receipt of the final regulatory approvals which we expect to get shortly. Finally, as we announced earlier this month, the closed acquisitions of Millicom Lao, that’s further extending our footprint in South East Asia and completing what we intended to do i.e. creating clusters in the Indo-China peninsula. In conclusion, let me bring back key points of this presentation. We continue to develop our business and we deliver solid financial results, which is very important going into the next phase of our development. In Russia, we are building up momentum, focusing on growth acceleration and strengthening of our competitive opposition and trying to take a full advantage of the above and growing market. I’m very happy with development of our Ukranian business, where we see good operational results on the back of market economic recovery and mobile market repair holding the consideration of Kyivstar. Operational synergy which is an important part our business in Ukranian have so far exceeded our expectations. Last but not least, the Wind Telecom transaction which was recently supported by majority of our shareholders will double the scale of our business and open new exciting growth opportunities in very dynamic industry environment. We are extremely confident that we will deliver additional shareholder value from this transaction in the next 24 months. With this, allow me to conclude and thank you for your attention and let me now open the floor for questions. Operator, please give the instructions to the participants.
Operator: (Operator Instructions) We’ll go first to Cesar Tiron with Morgan Stanley.
Cesar Tiron – Morgan Stanley: Yeah. Hi. Two questions please, if I may. So first, can you please tell us how much do you see that goes with accelerating Russia in Rouble terms in 2011 and also goes to those margin developments in Russia again between H1 and H2 2011 and explain us why do you seek margins, which go back in the second part of this year? Thank you very much.
Elena Shmatova: Well, this is Elena Shmatova. Thank you for this question. We are not giving kind of guidance on the development of revenues for the next year. So I’m not in a position to give you guidance on the acceleration of the growth. As for margins, as we said earlier the investments which we start giving into the market and activities at the end of the year, we will continue in the beginning of the year. In order to get better position in subscriber market share, we are now seeing pretty good additions in subscriber base and as Alexander mentioned during the presentation that it’s not leading to deterioration of the average revenue per user which means that we are managing to capture good quality subscribers. And so to do this, of course, we have to continue to be more active in terms of sales and in terms of advertising activities. By the second half of the year, we think that we will get strong position on the market as we will increase our share in data service ready now and that will bring the mix of the -- leading into different composition and data services, they have higher margins and bullish services and with this, we think that the margins can improve.
Cesar Tiron – Morgan Stanley: Thank you very much. Just a follow-up questions. Can you please say if it is 45%, either margin is below 45% for H1 2011 is for Russia or is it for consolidated EBITDA?
Alexander Izosimov: Well, we say that -- we haven’t said that for H1, which margin will be there. We are simply saying that we’ll continue to invest and we will be reacting, sort of, keeping our hand in the pulse how the market responds to our investment. What’s important, I guess, is to say that we are confident that we will be bringing in the second half of the year and overall, our year results above 45 for the group.
Cesar Tiron – Morgan Stanley: Thank you very much.
Operator: We’ll hear next from Will Milner with Arete Research.
Will Milner – Arete Research: Thank you very much. I just -- in the presentation, you made a Wind Telecom, January the 17th, you said, it will be cash accretive from year one. I’m now just in the commentary, the results today, we said that deal will unlock additional value within the next 24 months. I just want to -- if those two statements are consistent or if anything is changed in your assumptions on the Wind deal and push it out the accretion period. That’s my first question. And then the second question, just I want to see if you could give a little bit more detail on the changes you made to distribution network in Russia and how this gives you confidence that a. you can accelerate and b. you can improve margins from the second half? And obviously, some of your competitors are not in the main distribution independent dealers. I just wonder if you could talk in a bit more detail about what you are doing there? Thanks.
Henk van Dalen: It’s Henk van Dalen. On the point of the Wind deal transaction, there is no change in the way we look at the creativeness we’ve done so far. You got your shareholders. There will be an immediate accretion in terms of EBITDA per share that there is a significant increase as we mentioned already. There will be also be on cash EPS within the year and what Alexander also mentioned is that there are, of course, many other elements that will add to establishing what value is being delivered to our shareholders including value growth over the affiliate to common that is also of course something which extends beyond one year.
Alexander Izosimov: And just one thing to add that, our synergy capital program comes into full force after 24 months that’s what we communicated to the market and that’s what predominantly haven’t met. We then began relevantly to pick up on the margins.
Elena Shmatova: Yeah. The distribution channels, we were all were saying that we would like to strengthen our position in all main channels, meaning that national multi brand channels such as Beeline and djuices and then also local multi brand channels. So now we are improving this and improving the direction of local multi brand. At least, we are working with them very actively and more active than before and then we also improving our position in mono brands network. So we have a plan of increasing our chain of mono brands shops and that’s not only kind of the quantity of the shops, we would also like to improve the performance of each mono brand shop as well as our old offices and for this, we invented special incentive programs for the sales force and training for sales force in mono brand at our old offices in order to enhance them to sell more sophisticated services and predominantly dedicated for usage of data services in different dimensions and of course, we are also improving our position in many other alternative channel such as small books in huge malls and also we are looking for improvements in the possibilities in sales through internet.
Will Milner – Arete Research: Okay. Thank you.
Operator: Moving onto Alexei Gogolev with JP Morgan.
Alexei Gogolev – JP Morgan: Good evening. Could you please elaborate on the improvements in Uzbekistan, all of the main reasons for such strong growth in revenues again?
Dmitry Kromsky: Hello. This is Dmitry Kromsky. In Uzbekistan, we focused in 2010 on increase of our active subscriber base. We also changed the management in the country. We increase the number of sales points and quarter-by-quarter, we saw the improvements of our performance and the third quarter was started with the negative trend quarter-to-quarter of previous year but the fourth quarter showed 17% growth. And actually, the penetration that still below 80%, so the potential of the market is like we should grow even faster into Uzbekistan.
Alexei Gogolev – JP Morgan: Thank you. And also -- another follow-up question on the broadband dynamics. Again, very impressive growth in the fourth quarter, you give your modern subscriber growth. Would you be able to give us some steps on broadband steps for smartphones?
Elena Shmatova: Well, I guess, you have to give out Russia.
Alexei Gogolev – JP Morgan: Yeah. That’s correct.
Elena Shmatova: So smartphones is one of the elements of the strategy of improving our division in data services. The penetration of smartphones in total industry is pretty low and we think that in 2011, including increase and we have plans of distributing our own branded smartphones which will have, I would say, very affordable price. And these were things is delight thing to do in order to improve our position and their revenue coming from data services.
Alexei Gogolev – JP Morgan: Thank you.
Operator: We’ll hear next from [Bill Zaton from Beerenberg].
Tory Keni – Beerenberg: Hi. It’s [Tory Keni]. Can I just ask on your dividend policy, historic, I thought was simply 50% of free cash flow. It is not what it seems to suggest, is 50% a free cash flow from Russia and Kyivstar. Let me post a Wind Telecom’s action to free cash flow that Wind and Orascom generate will not be for distribution as dividends? And my second question on Russia is how do you see your competitive positioning going forward in terms of M&A and how attractive an asset do you see Tele2? Thank you.
Henk van Dalen: I see it’s a -- I think it was in June, last year. We have communicated about our new dividend policy which focuses at those two businesses that have -- that has had the most solid and consistent cash performance. So that is Russian operations and Kyivstar. And that moment, we also said we are going to pay out at least 50% of the free cash flow of those two businesses and free cash flow is then defined as net result plus the appreciation minus CapEx. When we announced the transaction, the in term transaction with Wind, we also said that for the first couple of years, we will continue to take that as the basis for our dividend going forward and as of the year, 2013, 14, we will be able to refinance and restructure the whole financing of the new group and that will also enable to take our dividend slower from the other entities.
Alexander Izosimov: And as far as M&A is concerned, there are few principle observations that we believe and we communicate consistently that any end market acquisition usually, it’s fairly easy to calculate and the synergies are quite robust and what we deliver now in Ukraine, I guess, proves the case one more time. So in principle, we would be attracted to do that. However, if you look at the companies who do not have 3G capabilities, their future growth is rather restricted and therefore immediate value added is more restricted compared to the companies who would participate in the active data development and that goes to Tele2, that in principle, consideration of the market would be very good news. However, the price tag which would be attached to it, should be taken with some caution because the company, I’m sure, doesn’t have brighter step in terms of data play. And I’m not aware of that, they would be selling anything. So hypothetically, yeah, we would be interested but we’d approach the evaluations in a very, very careful fashion.
Tory Keni – Beerenberg: Okay. Thank you very much.
Operator: We’ll hear next from Tatiana Boroditskaya with UBS.
Tatiana Boroditskaya – UBS: Good evening. Thank you very much for the presentations. I have some questions, if I may. Can you please confirm your strategy in relation to raising debt in capital markets this year and secondly, can you shed more light on your CapEx requirements this year, next month? Thank you.
Henk van Dalen: Yeah. Raising the debt in capital markets, of course, mainly, it will be related to finalizing transaction with Wind as we indicated in relation to the transaction, it is that I think over the last couple of months already, we will have to check roughly $5.5 billion, main portion of that will go to an intercompany loan and financing of the Orascom business, a $1.5 billion will go as a cash element in the delta consideration to the owners of Weather and rest is a mix of various elements. So that will be, if you said the main requirement for which we will go in the market that will be done in the form of a U.S. dollar bridge loan, as well as a loan, term loan in the rural market which will also be reflected at the end of the day partially in U.S. dollars. And then we will have also the need to do some refinancing as you can -- could see in the maturity schedule, there is refinancing requirement in 2011, I think, of roughly $1.1 billion worth and of course, (inaudible) affected that we already took $1.5 billion out of the market in the bond issue in January. So what we’re looking at an amount of between $5.5 and $6.
Alexander Izosimov: And as far as general CapEx profile is concerned, we do not feel comfortable to provide specific guidance here because there is too much uncertainty but rather sort of reflect our thinking on the subject. We do not believe that we need to play particular catch-up game with Megaphone in Russia with (inaudible) invested with the high-risk profile in such an excess and had a curve into 3G. It might bring them some benefits but the question is the financial returns we feel not comfortable and therefore, we do not see a need, particularly for us to break out of our normal investment profile which we have been talking about between 16% and 20% closed probably to the upper range of this quarter and therefore our view on CapEx needs and the CapEx commitments for 2011 would be not significantly different from the year before, may be slightly higher but not significantly. It drives of course from market to market and one large unknown which we currently happen to table it’s 3G in Ukraine. The timing of it and the conditions of it, the intensity of it, we don’t know yet and therefore we cannot project. But as I said, we don’t see as a necessity for us to dramatically change our CapEx profile compared to the previous year.
Tatiana Boroditskaya – UBS: Henk, just to confirm, you’ve mentioned $5.5 to $6 billion in total of debt rates. Does this includes debt that you raised this $1.5 billion that you just mentioned?
Henk van Dalen: That is. But of course, it kind of sets off with refinancing of the 1.1 that we still have to do over the year 2011, which will see the majority schedule. So factually, by having done that one in January, we did debt refinancing already and they have a little bit more and that as you could say a pretty step on the financing for the Wind transaction.
Tatiana Boroditskaya – UBS: Thank you.
Operator: We’ll go now to Dalibor Vavrushka with ING.
Dalibor Vavrushka – ING: Hello. Good evening. Just a quick question, a follow-up, what was discussed about CapEx. I mean, obviously the fourth quarter numbers was very substantial I think the highest ever in the company’s history for the quarterly CapEx and you now indicated that the CapEx for this year might be the higher part of the range. I’m wondering whether there are any conditions or anything that they are looking at in terms of adjusting your CapEx policies. I mean, is it is mainly driven by competition. Are you looking for some regulatory developments? Are you perhaps investing now because you see more growth than you saw before or is it more like a catch-up game. Just actually getting an understanding what you are investing into and what are the key decision making factors in the next couple of months as you are going to go through to determine or find your CapEx spending? Thank you.
Alexander Izosimov: Dalibor, I think it’s three months already above. It is taking into account when you decide. But first and foremost, that we’re still very carefully observing what returns we can expect from the investment profile and therefore accelerating significantly CapEx appears to us a bit risky. So with an 3D immediate payback and when you combine that with a historical price erosion, it doesn’t, [actually its illogical] to accelerate it. However, with much lower investment profile, which we exhibited in 2009, we put companies -- competitive company performance in jeopardy, and there is a little bit of catch up we need to do. And that’s a managerial dilemma here and a challenge where did I balance. So we have down quite as substantial exercise actually trying to understand how the topology of the network 3G used to be developed. It’s not that trivial as it might appear because only recently even mature operators started experiencing large volumes in their networks, and therefore, rapidly adjusting the networks and striking different balances between the transport network requirement and the radio clause and the core – [should speak] much work in progress for the whole industry. And we have done all this exercise and we arrived to a very clear understanding what we need just to give you numbers for the feeling that we believe that we need to build a penetration of about 70% in Russian of population with a density of about 7000 people per base station on average. It will vary, of course, between different regions and for larger cities density will go higher, but that’s what we will go initially for, and after that we will see how much of EID increase will bring the capacity -- address the capacity requirement and at what point in time [might it can] extend and how we navigate, sort of, on this technological basis. By the way, to put things in perspective again, 7000, that’s about the number of sites we have. So, the decision to go with the higher density will imply different CapEx per base station and prospect. So, we are saying that we will be staying with the reasonably low incremental CapEx rolling out 3G. This is, of course, highly generalized statement and in different regions it will develop differently and even among the countries it will be different performance. That’s the overall logic how we think about it.
Dalibor Vavrushka – ING: And just a quick follow-up, if I may, in terms of what is your split in CapEx, for example, in Russia? How much of the money you’re spending actually goes to 3G? Are you still buying any 2G equipment and also how do you see this in context of this yield agreement and LTE. Do you expect that you might get LTE license in maybe in a year’s time, and if so, is it -- how do you look at 3G returns in this stage of cycle?
Elena Shmatova: Well, good evening Dalibor. In Russia, we are of course mainly focusing on development of 3G, but due to the fact that we have combined transport network it’s pretty hard as we were set to really define what is 3G what is 2G. But talking about the radio part, yeah, mainly we are investing in 3G, but saying that we still continue to improve 2G in certain areas. We need -- where we see the demand and we need additional coverage because the voice service in 2G is still quite good and is very efficient to use 2G network for this purposes. And for LTE, yeah, of course we are now participating in their many activities in terms of exploring the opportunities how we can develop this technology in Russia, but, for this year it seems to me it’s too early to say that it will have substantial impacts on our capital investments. So, that’s maybe the question of the next year.
Dalibor Vavrushka – ING: Okay. Thank you very much.
Operator: We will now hear from Kirill Bakhtin with TKB Capital.
Kirill Bakhtin – TKB Capital: Good afternoon. What I’m trying to figure out is that how VimpelCom managed to reduce its interest expense in the fourth quarter of 2010, and whether it’s sustainable level? We see that in Ukraine the company recognized [compensation] expense in Russia then it’ likely to exceed to worse at 80% versus 26% of the first three quarters of 2010? Could you tell us if reduced tax rate is expected to be in place over the mid-term?
Alexandra Tramont: There are two elements to be answer to you, one is, on short-term for the group as a total looking at an effective tax rate of around 26% to 28% is probably a good rate to look at it. And on the medium term we are brining in place the various structures that will also enable us to do inter-company financing including having inter-company interest at a lower tax rate that will then overtime together, of course, with the general steps of emerging various economies to lower the income tax rate will also bring the effective tax rate down. So, coming to the earlier part of your question the fourth quarter level of income tax expense is certainly not something which can be seen as the basis going forward, I would more look at a level of between 26% and 28% for the short-term.
Kirill Bakhtin – TKB Capital: 26% to 28%. Okay. Thanks a lot.
Operator: We will go now to Jean-Charles Lemardeley with JP Morgan.
Jean-Charles Lemardeley – JP Morgan: Yeah. Just two questions. Could you please -- first of all relieve more comment on this LT network sharing -- and whatever you can share with us on that, it sounds like a recent development. It doesn’t deteriorate -- you think MTS and yourself and Megafon have roughly the same numbers of sites in Russia, it’s hard to argue that there is a big competitive advantage in having more sites than the others. So do you believe that this could go further than this LTE agreement? And the second question is on smartphone developments and what you can share on ARPU levels which you have served from usage in ARPU and most smartphone users in Russia and what kind of an uplift it is versus let’s say 3G non-smartphone handsets, and then whether you see the high quality of the smartphones -- the high end usage?
Alexander Izosimov: Let me start with general LLC approach and then let me pick up more specific comments on smartphone question. In principal, there were discussions actually at the highest level of the government in Russia as to how Russia should look forward at developing its infrastructure, and of course, the prevailing trend now in the industry is to look for opportunities to share the infrastructure in order to minimize costs, because many operators, arrived at the conclusion that it is phenomenally difficult and going forward would be probably economically not sustainable, try to achieve differentiating any type of differentiation through network and the quality of the coverage and so on. In that sense we can produce actually much better economic returns if we pursue shared resource and shared network logic. That’s being imbrued by the Russian government and the number of discussions and resulted in the general direction which we now outlined. The specifics of those agreements and how it will turn out in terms of how frequencies will be cleared and how we organize ourselves and operating in that shared environment are yet to be determined, but philosophically I think it’s been fundamentally important step made by the government which operators will heartily supported. Elena, now over to you.
Elena Shmatova: Yeah. With users of smartphones, of course, its difference from the territory, but from average we assume that the smartphone users do have at least an ARPU of around 15%.
Jean-Charles Lemardeley – JP Morgan: And so are you referring the overall ARPU, voice plus data being 15% higher?
Elena Shmatova: Yeah.
Jean-Charles Lemardeley – JP Morgan: And in the data portion is that something you can isolate or -- ?
Elena Shmatova: Yeah. Of course, we do have separate tracking of mobile data. We are not disclosing this, but in total value added services -- are around 20% of revenue.
Jean-Charles Lemardeley – JP Morgan: Right. Okay. But you don’t have -- specific smartphone ARPU for data that you can give us? All right. Thank you.
Operator: We will now hear from [Zeltan Polthi] with Credit Suisse.
Zeltan Polthi – Credit Suisse: Yeah. Good afternoon, one question following up on Alexander’s four points about how to address the market share issues in Russia? One of the points you highlight is that you have to offer a better value for money packages to your customers, I’m wondering that this has already been implemented in Q3 and Q4 or this is something that is yet to be addressed? Obviously we are not seeing any unusual dilution in your voice Average Revenue per minute yet?
Elena Shmatova: Yeah. We use, let’s say, results of very sophisticated investigation which we performed during summer to really find the preferences of the subscribers, and that’s why we are saying that our aim is really to have some pricing excellence capabilities because we have to -- value for money in a really smart way to price very attractively the services which are frequently used and that’s why we can attract additional subscribers, but on the other services we can increase the prices. So on the balance, the price should be more or less stable or should stimulate the usage. So, we will concentrate, actually, going forward on average revenue per user rather than looking separately on price or any other condition. So the goal -- the real goal is to increase average revenue per user and for this we can use different opportunities. And as long as we are really integrated operator we have a pool set of different products how we can combine them in the most efficient way in order to, on one hand, satisfy the needs of subscribers, increase our subscriber base, but on the other hand be very cautious, I would say, about our investments into the market and as we said that return is very important point to us in all dimension.
Zeltan Polthi – Credit Suisse: Right. Thank you and do you think, what you have been doing so far is already sufficient to reverse the market share trend or do you feel like you still have to be a little bit more aggressive in 2011 on your packages?
Elena Shmatova: Well, on such competitive market it’s never enough. So, of course, we have to continue all the efforts in this regards. Yeah, we have already some results, some preliminary results I would say, of all that activities because we can see that increase in subscriber database as we reported today by the end of the year crossed 250 million and then we also saw some public investigations about the growth in terms of subscribers for January and February and done be ACM Consulting and they will also look quite good in terms of subscriber addition, which is, I think the result of already taken actions, but of course it’s not enough and we will continue to be pretty active in terms of old [difficult] points which Alexander mentioned.
Zeltan Polthi – Credit Suisse: Thank you, Shmatova.
Operator: (Operator Instructions) We will go next to Nadia Golubeva with UniCredit. 
Nadia Golubeva – UniCredit: Yeah. Good afternoon. Some more questions. First of all, can you please update us on the number of 3G base station in use as event 2010 and maybe you can give a little bit number, and also you said that you want to increase the number of your mono-brand stores, so how many do you have now and what’s your expectancy in 12 months in the Russia? And if possible, I also wanted to ask to give some color about you can incur – will you incur of Orascom shareholders GM? So what I’m trying to understand is there potentially outcome which would prevent holding of Wind deal in the scheduled time, and also I saw at the Newswire that Euroset, they are saying that the Wind deal could be closed in one month. So it is some change compared to end of second quarter indicated earlier so could you put thoughts again on these things?
Alexander Izosimov: Nadia we kind of say, I think, record all of the questions, so I will start with the Orascom and then I will pass on to Elena to comment on Russia. We unfortunately cannot comment because there are a lot of agreements which are engaged inside Orascom, and so no more lights we can shed on the outcome. We are very happy that the meeting didn’t schedule, and that basically defines now the critical path for the closing. So as I said earlier to the press that with all the necessary approvals, from the regulatory authorities being received, now shareholder meetings of Orascom is basically in the last tenth year and therefore we intend to provide it to all cities on net. We intend to close the deal within a month and Elena will now comment on the (inaudible) question in Russia.
Elena Shmatova: Yeah. The number of 3G – now this currently we have more than 9000. So that’s the status and continue to invest. As for mono-brands, we are targeting more then 3000 shops and as I said the major point here is not maybe the total amount of the shops but the quality or performance of that shop.
Nadia Golubeva – UniCredit: Again -- and how many do you have now?
Elena Shmatova: Well it’s slightly less than 2.5 thousand.
Nadia Golubeva – UniCredit: Okay. Thank you very much.
Operator: We will go next to [Olga Buzaknist] with Union Bank.
Olga Buzaknist – Union Bank: Hello. My question is whether you draw down any amount on the [bridge loan] and whether -- when do you plan to refinance it?
Alexander Izosimov: Of course we will reflect to in the next couple of weeks to also sign the bridge loan and for the final signing and to drill down and then we will, of course, try to find the best possible moment during the year to do the refinancing in the form of bonds and stake-outs that has been announced already earlier.
Olga Buzaknist – Union Bank: But will they see you on the Euro Bond this year half of the year or more likely in the second half of September?
Alexander Izosimov: We will need to decide on that and that will also depend on which kind of figures in the documentation we will be able to use so that we will most probably also related to using indigo figures and also pro forma in the combination with win. So, it could be towards the end of first half – or it is more likely to take place in the second half.
Olga Buzaknist – Union Bank: And when you come to the Euro bond what maturities you will mainly target?
Alexander Izosimov: Well that is indigo also –
Olga Buzaknist – Union Bank: … with, but it was diversified, so what maturities are you more interested in?
Alexander Izosimov: Well that is indeed also still an analysis we have to take a little bit deeper. So we will inform the market about that – at the moment as we go to the market.
Olga Buzaknist – Union Bank: Okay. Thank you very much. That’s it from my side.
Operator: We will go next to Rita Tsovyan with Renaissance Capital.
Rita Tsovyan – Renaissance Capital: Hello. My questions have already been answered. Thank you.
Operator: Thank you. We will move then to Thomas [Heave] with (inaudible) Equities.
Thomas Heave – Analyst: Hello. Thank you. Just a follow-up on your previous discussion on in-market consolidation of the regionals, I’m just unclear about your evaluation thoughts there about regionals and (inaudible) a bit question why is it relevant, what license these players have now given that you have a licenses wouldn’t a relevant point to value regionals be the synergies that they can bring to VimpleCom rather their stand-alone valuation. Thank you.
Alexander Izosimov: That’s one way to look at it. But when you take a stand-alone valuation you project how the business will evolve going forward, and on that basis the valuation will be less genius because the growth which the company has been enjoying been mainly voice driven, and we believe that substitution will be happening and migration from pure voice into bundled services will take place in a fairly aggressive fashion. Therefore companies without 3G licenses will be more in jeopardy of that industry trend. As far as synergies are concerned, of course, synergies not changing and it will be there if it happens. That’s the question on the price tag simply. 
Thomas Heave – Analyst: Okay. Thank you very much.
Operator: (Operator Instructions) We will take a follow up from Cesar Tiron with Morgan Stanley.
Cesar Tiron – Morgan Stanley: Yeah. Hi again. Can you please tell us you should have any data for the loss of term R&D arbitration?
Alexander Izosimov: No we don’t have any specific dates which has been set -- the arbitration hasn’t been set yet.
Cesar Tiron – Morgan Stanley: So – you can say you just expect this process to last just a couple of months or if it can last more than a year?
Alexander Izosimov: It’s very, very hard to comment. It depends on how aggressive the parties will be. So, I would prefer not to speculate on this subject at the moment.
Cesar Tiron – Morgan Stanley: Thank you very much.
Operator: And we appear to have no further questions at this time. I will turn the conference back to management for closing remarks.
Alexander Izosimov: Thank you. And thank you for all of you for your interest, and as usual, if you have any questions or [we couldn’t explain], do not hesitate to contact our IR and they will provide you with all the relevant information. With this, I wish you all good day or good evening depending on where you are, and thank you very much. Good day.
Operator: That concludes today’s conference. Thank you all for joining us.